Mike Henry: Hello, and thank you for joining us to hear about BHP's results for the 2025 financial year. I'm joined by our Chief Financial Officer, Vandita Pant. This year again demonstrated BHP's resilience, strength and operational excellence. Our strategy remains clear and simple. We choose to be in highly attractive commodities with resilient demand and steep cost curves. We own world-class assets that are large, long life, low cost and with options to grow. We operate them excellently, generating maximum possible shareholder value for the capital deployed and we bring a differentiated approach and focus to creating social value with those around us. Our results continue to prove the value of this strategy. Against the backdrop of our strategy, we continuously refine our plans to optimize for risk, value and growth. As we'll go through shortly, we've refined the sequencing of some of our projects. Assuming these projects proceed, it could deliver average production growth of 2.2% per annum over the next decade. We've reduced our capital spend by $1 billion per year over the medium term, and we've revised our target net debt range to $10 billion to $20 billion to reflect the significant improvement in our business and portfolio since it was last set. But before we get into these, let's look at our results. 2025 has been another strong year. We delivered on our full year guidance across our suite of businesses and achieved record iron ore and copper production. In copper, we produced more than 2 million tonnes having grown volumes by 28% over the past 3 years. Our operational results have underpinned another year of sector-leading margins and strong cash flows, resulting in a final dividend of USD 0.60 per share, and this takes our full year dividend to $5.6 billion. The creation of shareholder value goes hand-in-hand with the creation of social value. It helps to underpin stable operations, manage risk and open doors to opportunities, partnerships, talent and capital. Our contribution to the communities and countries in which we operate goes well beyond the direct dollars, but those figures are still important. And this year, we contributed almost $47 billion globally through wages, taxes, royalties, community contributions and payments to suppliers and shareholders. Earlier this year, we achieved gender balance in our global employee workforce with female representation now at 41.3%. This has been a very significant achievement and it has enabled better underlying business performance, contributing to a BHP that is safer, more productive and more reliable than in 2016 when we announced this ambitious goal. Of course, nothing matters more than the safety of our people. This financial year, we realized year-on-year improvements in key safety metrics, and most importantly, no one lost their life on the job. Over the past 5 years, our teams have achieved a 63% reduction in high potential injury frequency. These are incidents where someone was injured even in a minor way, but which could potentially have caused the fatality. We continue our efforts to eliminate these incidents fully from BHP. Constant vigilance on safety is part of the high performance that drives productivity in our assets and enables value creation. With that, I'll hand over to Vandita to take you through our financial performance.
Vandita Pant: Thanks, Mike. We have again delivered a strong set of results. Our underlying EBITDA margin remained very healthy at 53%. This continues our track record of achieving an average margin exceeding 50% over the past 20 years. Our return on capital employed was 21%. As Mike mentioned earlier, we paid a significant amount of taxes and royalties through the year. This year, we incurred almost $10 billion of taxes and royalties against an underlying attributable profit of $10.2 billion. Every 6 months, under the capital allocation framework, we review potential returns to shareholders to ensure shareholder outcomes reflect how the business has performed. On the back of our strong performance and the strength of our balance sheet, we have determined a final dividend of USD 0.60 per share, a payout ratio of 60%. We continue to perform well in the areas we can control with solid volume, growth and disciplined cost management. As you can see on the slide, the 10% decline in EBITDA was due wholly to commodity prices. The benefit we received from favorable foreign exchange rates was offset by inflationary pressures. We delivered a strong year operationally with copper equivalent volume growth up around 4%. This was partly offset by an increase in productive movement, which sets us up for the future, inventory drawdowns to manage through weather and other external events and higher labor costs over and above CPI inflation. Overall, unit costs at our major assets improved almost 5% year-on-year despite inflation. This strong performance was achieved across the business, an impressive effort given the external headwinds we navigated. Western Australia iron ore once again demonstrated its position as the world's leading iron ore business. Record production and record shipments, despite the impact of severe weather, drove an EBITDA margin of 63%, with C1 costs of just $17.29 per tonne, WAIO has now been the lowest cost major iron ore producer globally for 6 years. BMA also performed well with volumes up 5% despite weather-related disruptions. Our work to stabilize the supply chain is progressing and already delivering results. And as at New South Wales Energy Coal, we continue to generate solid results. The transition to closure is progressing as planned. We have secured approval to continue mining until June 2030, and we have partnered to explore pumped hydro energy storage as a potential at the site after mining ceases. In Copper, we generated a record $12 billion of EBITDA this year, 45% of the group total at an impressive margin of 59%. Escondida delivered a 16% increase in volumes to 1.3 million tonnes, its highest in 17 years at a cost of $1.19 per pound, an improvement of 18%. Spence continued to perform well, achieving record production. And Copper South Australia demonstrated steady and reliable underlying performance despite a weather-related power outage in October, which impacted operations. Our copper assets also benefit from significant byproduct credits. Not only are we the world's largest copper producer but we are also a sizable gold, silver and uranium producer. If Copper South Australia were a stand-alone business, it would be a top 10 uranium producer globally and the fifth largest gold producer on the ASX. Our focus on operational excellence around the business, underpinned by our BHP operating system is delivering clear results. Our capital allocation framework continues to instill discipline and deliver both strong shareholder returns and value-driven growth. We remain fully committed to this framework, which includes maintaining a strong balance sheet and paying a minimum dividend of 50% of underlying attributable profit each reporting period. Within this framework, we look to ensure every dollar of our capital is used to maximum potential. This is what we call capital productivity. We are focusing ever more sharply on making more dynamic capital optimization choices. We continue to sequence projects to enhance both value and deliverability. And within projects we are seeking to improve capital efficiency through optimizing scale and design. We are redoubling our focus on deploying our BHP operating system in projects to enhance project excellence. We are also using strategic partnerships, which bring complementary skills and help manage risks. And we continue to investigate opportunities to unlock capital from our assets, for example, noncore infrastructure and recycle it into higher returning opportunities. This year, we have continued to optimize the sequencing of our projects. Mike will take you through these changes shortly. In addition, the pace of development of our decarbonization technology has slowed, particularly in relation to diesel displacement. We expect our previously anticipated spend on operational decarbonization to now be in the 2030s aligned with the delayed time line for critical technologies to become commercially available. Importantly, we remain on track to meet our 2030 target for operational greenhouse gas emissions. Overall, we now expect capital and exploration spend to be around $11 billion in both FY '26 and '27 and to average $10 billion per year over the medium term, around $1 billion per year lower than previous guidance. We remain flexible to adjust our capital expenditure and phasing to accommodate market dynamics and cash flow generation. We are also putting a strong balance sheet to work. Over the last 3 years, since we last changed our net debt target range, our underlying business and portfolio has improved significantly. More copper production with increasing confidence in our growth plans, more iron ore production at lower cost than the competition and a higher-quality steel-making coal business. We have more operational stability and have strengthened our unit cost leadership. This is against a backdrop of higher marginal cost across the industry due to inflation, which supports higher commodity price flows and benefits low-cost producers especially in a downturn. In short, BHP is a stronger, more resilient company. And in line with the enhanced debt servicing capacity this brings, we have revised our net debt target range to $10 billion to $20 billion. Even at the top end of this revised range, our leverage remains conservative, and our balance sheet strong. I'll now hand back to Mike to take you through our growth plans.
Mike Henry: Thanks, Vandita. Before I outline our plans, I want to spend a couple of minutes on how we see our operating environment in the near term. While economies around the world continue to navigate policy uncertainty, China and India again demonstrated resilient economic and commodity demand growth. In the first half of this year, China exceeded economic growth expectations with strong export growth. We also saw robust domestic commodity demand from a variety of sectors, including infrastructure and electrification and even as demand from the property sector remains subdued. China's economic growth is expected to remain resilient even as the pace moderated slightly in the second half as the boost from pulled forward exports unwinds and new tariffs take effect. That said, it has many policy levers at its disposal to support its domestic economy and its exports are likely to remain resilient due to its significant cost competitiveness. India is projected to remain the fastest-growing major economy and a bright spot for commodity demand. Advanced economies will need to navigate the evolving policy landscape, although supportive fiscal and monetary policy will help mitigate risks. In short, while the global backdrop of policy uncertainty continues to influence investment in trade flows and acts as a headwind for economic activity, demand for commodities has been resilient, and we expect it to remain so. We're also seeing an increasing focus on critical mineral supply and supply chain security across the globe. And this reflects a growing understanding and acceptance of the critical rule mining will play in supporting national security, energy transition and technology development. We remain well positioned to succeed, both now and into the future. But it's also worth taking a moment to celebrate our past. Last week, we marked 140 years of BHP's journey. It's a remarkable story of transformation and resilience and 1 we can all be proud of. Over this time, we have been deliberate in our choices about the businesses and commodities to be in and those that we have chosen to exit. We know that commodity choice is critical to long-term value creation. We have reshaped our portfolio in anticipation of the megatrends playing out around us. A growing global population, increasingly living in cities, seeking higher standards of living and eating more and better food. That demand is only amplified by the energy transition and the AI revolution driving data centers and digitalization. The choices we've made set us apart from our competitors and have strengthened our position. Our commodities have large markets, resilient demand and steep cost curves. The world is going to need a lot more steelmaking materials, a lot more copper and a lot more potash. In these commodities, we are discerning about the assets we own. They are large and in world-class resource basins, providing decades of optionality and future growth. They are in top-tier mining regions with lower inherent risks. And when combined with our operating excellence, they are well placed to be low-cost and resilient through the cycle. At WAIO, we have around 30 billion tones of Pilbara iron ore, 95% of which is within 50 kilometers of existing infrastructure and which we produce at lower cost than anyone else. At BMA, following the optimization of our portfolio over the past several years, around 90% of our production is now linked to the premium price index. We expect these higher quality coals to be increasingly valued for the role in reducing the greenhouse gas emissions intensity of blast furnaces. Escondida is the world's largest copper mine, the world's largest copper resource and is 1 of the lowest cost producers in Chile. And we also have a suite of world-class copper and potash assets in South Australia and Canada and through our joint ventures in the U.S. with Resolution and in Argentina with Vicuña, which I'll talk about shortly. This unique portfolio of world-class assets in attractive commodities and our operational excellence underpin our strong track record. The way we engage our people, enabled by our BHP operating system unlocks continuous improvement. Our systems and structures allow us to quickly replicate our successes at 1 asset across the broader business. And you can see this in the chart on the left, the impact of that approach. Over the past decade, our EBITDA margin has averaged 55%, around 10 percentage points above our closest major competitor. This consistency and resilience through the cycle are the hallmarks of BHP. We know our success also depends on the way we allocate capital. And as Vandita mentioned, we've continued to refine the sequence of our projects while maintaining our growth outlook and optimizing capital deployment. A great strength of our assets is the optionality that comes with their scale and longevity. It allows us to deliberately and strategically choose if, when and how we grow production. And I'll step through some of these in detail now. First, let me talk about Jansen. Last month, for Stage 1, we announced updated cost and schedule estimates, including for first production to revert to the original schedule. I'm disappointed. Clearly, this is not where we want to be. We encountered higher inflation and cost escalation than anticipated and lower productivity on certain aspects of the project, particularly more recently as we've moved progressively into surface works. We've taken action to contain the increase in cost, and we will apply learnings to how we plan and execute projects more broadly. The standard of excellence we aspire to in projects is no different to how we run our operations. Overall, we have a good track record of delivering our major projects over the past decade, on time, on budget and with competitive capital intensity. We'll learn from our experience at Jansen to improve further. As part of our regular review of how best to prioritize capital for risk and returns, including the sequencing of projects, we've also made the decision to extend the first production for Stage 2 by 2 years. This will free up capital for nearer-term higher returning projects. Now to iron ore. For some years now, we've said that we expect Chinese steel production to plateau and eventually decline over the mid- to late 2030s. The market is becoming more competitive, and the businesses that thrive will be the ones who can sustain their margins. And that's why we've been focused on improving performance and reducing cost. Today, Western Australian iron ore is the lowest cost major producer globally and generate $7 per tonne more free cash flow than our closest major competitor. It's the world's leading iron ore business. We've now completed studies into growth from 305 million to up to 330 million tonnes per year, giving us further optionality. We maintain our current firm plans to grow production to 305 million tonnes per year by the end of financial year 2028. And as we do so, we expect to further improve unit cost to below $17.50 per tonne in the medium term. We're also adding a sixth car dumber, which will allow us to maintain production through a period of major planned car dumper renewals, which begin in 2029. This investment is expected to generate an IRR of more than 30% and to pay for itself within the first 3 years from first ore. At Escondida, we have continued the planned optimization of our growth program. We've brought forward some low capital intensity initiatives at the Laguna Seca concentrators with other parts of the planned expansion optimized and resequenced. We've extended the life of the Los Colorados concentrator and optimize the demolition process to access higher grade ore sooner. The new concentrator remains the centerpiece of the program with no change in time line and first permit due to be submitted this financial year. This will add around 400,000 tonnes of copper over 2027 to 2031, smoothing the production profile. It also improves capital efficiency and derisk the execution of the program by minimizing activity and people on site at any 1 time. This is a great example of our ongoing efforts to improve capital productivity through project sequencing and optimization that Vandita referred to. Copper South Australia also provides an incredible opportunity, and ongoing stable operational performance provides a solid platform for growth. Copper South Australia has produced more than 300,000 tons of copper in each of the last 2 years and its improving free cash flow performance, including the contribution of byproducts will support funding its growth. Our aspiration to double copper production remains unchanged, and but we have optimized the sequencing of our growth program to better stage capital spend and construction and workforce requirements. We now expect to take a final investment decision on Phase 1 of the smelter and refinery expansion in the 2028 financial year. As we assess the opportunity to grow our operations in South Australia, stability and certainty in fiscal policy and regulatory settings, including at the federal level is required. Efficient permitting and approvals are fundamentally important to getting major projects off the ground. To expand our operations, we're going to need more water. We support the Northern Water Project being led by the state government in partnership with the federal government and see this as key to providing a more sustainable and secure water supply. We are pleased to become a baseload customer to help the government to deliver this project, which would enable us to grow refined copper production in South Australia and support economic growth throughout the region. Lastly, on the border of Argentina and Chile, we're making good progress at Vicuña. This is a really exciting opportunity in alliance with Lundin Mining with the potential to be a global top 10 copper producer. This year, Vicuña, which consists of the Filo del Sol as sale and Josemaria deposits, announced a combined resource of 38 million tonnes of contained copper. Filo del Sol is 1 of the largest copper deposit discoveries globally in the last 30 years, which could support a potential multi-decade mine life. Vicuña is on track to complete its integrated technical report for the project by March next year, and this will help inform its future development. Pulling this all together, our growth pipeline heavily focused on copper and potash support strong production growth over the next decade. Assuming these projects proceed, it could deliver average production growth of 2.2% per year over the next decade. This is high-quality growth and is set to generate significant value. We are investing in highly attractive commodities and in assets with long lives and upside potential. And as we invest now to unlock this growth, we continue to benefit from our baseline of production, which provides strong cash flows and resilience. So why BHP? We believe we offer an attractive investment proposition. We provide exposure to the intersection of some of the most significant global trends, population growth, urbanization, digitalization and the energy transition. We're producing the right commodities from the best assets. We deliver reliably and consistently and have an increasingly attractive pipeline of growth ahead of us and we continue to refine our capital allocation plans for risk, value and growth. We have refined the sequencing of some of our projects improved our capital efficiency through reducing our spend over the medium term, and we're putting our very healthy balance sheet to work. We are set up to create value and deliver returns right through the cycle. Thank you.